Operator: Greetings. Welcome to the Chatham Lodging Trust First Quarter 2022 Financial Results Conference Call. [Operator Instructions] And please note, that this conference is being recorded. I would now turn the conference over to Chris Daly, President of DG Public Relations. Thank you. You may begin.
Chris Daly: Thank you, John. Good morning, everyone, and welcome to the Chatham Lodging Trust first quarter 2022 results conference call. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our most recent Form 10-K and other SEC filings. All information in this call is as of May 04, 2022, unless otherwise noted. And the company undertakes no obligation to update any forward-looking statements to conform the statement to actual results or changes in the company's expectations. You can find copies of our SEC filings and earnings release which contain reconciliations to non-GAAP financial measures referenced on this call on our website at chathamlodgingtrust.com. Now, to provide you some insight into Chatham 's 2022 first quarter results, allow me to introduce Jeff Fisher, Chairman, President and Chief Executive Officer; Dennis Craven, Executive Vice President and Chief Operating Officer; and Jeremy Wegner, Senior Vice President and Chief Financial Officer. Let me turn the session over to Jeff Fisher. Jeff?
Jeff Fisher: Thanks, Chris. I appreciate everyone joining us this morning for our call. As I look at these results, I'm very proud of our teams at Chatham and Island, who did a fantastic job during the pandemic maximizing revenue and operating profits, while minimizing cash burn and executing key corporate transactions that have enhanced our financial position. In fact, for the eight quarters just ended, we produced positive corporate cash flow before principal amortization and CapEx. As we sit here today, the business traveler is coming back across the country, and our five primarily tech driven hotels in Silicon Valley and Bellevue, which historically comprise 25% to 30% of our EBITDA. Our seeing demand accelerate rapidly. As a reminder, these five hotels generated EBITDA of $35 million in 2019, but only a mere of $7 million in 2021. This recovery is going to be a major driver behind our outperformance over the foreseeable future. Strategically, we're excited to announce that we're expected to close within the next week on the sale of four hotels, comprising 537 rooms for approximately $80 million in two separate transactions. These older hotels on average 27 years old that have produced RevPAR below our portfolio average. In 2019 and 2021, they produced RevPAR of $96 and $59. Below our 2019 and 2021 portfolio RevPAR by 28%, and 32% respectively. Additionally, two of the four hotels were set for renovation in the next 12 months. And we believe we could put that money to better use buying assets. Through the four hotels are going to be converted for multifamily use, and would represent our second and third hotels sold over the past two years at a very low cap rate for the purposes of converting to apartment use. The proceeds will be used to pay down most of the borrowings on our $250 million credit facility, which will have only $30 million outstanding when they close. When we exit the waiver period on our credit facility after the second quarter, we will have the full capacity available and we'll have a substantial number of unencumbered assets available to provide flexibility to acquire hotels and address at the right time, a very manageable $114 million of fixed rate debt securities -- excuse me, debt maturities next year. We sit here today with substantial dry powder or refined portfolio given the sale of the four hotels and a platform that can grow quickly. Over the past two years, we did a great job putting heads and beds pivoting away from the higher rated business traveler during the pandemic since mid-February. We are seeing now a substantial acceleration in business travel. And just like we did on the downside, on the upside pivoting again and pivoting our sales and revenue management efforts to capture the higher rated traveler. Our message to our operating team is to push rates. We are in a heightened inflationary environment and had the opportunity to push higher rates. Our opportunity is much better than it was in the years leading into the pandemic, when supply growth was significant and there was resistance to any kind of rate growth. Previously, we stated our belief that the business traveler was going to return with a vengeance and never bought into the belief that business travel is permanently impaired. I've lived through a lot of cycles here and I heard for many years, how online meetings were going to be the downfall of the business traveler and many other external events that were supposedly going to really cut down business travel. People still like to travel that's clearly evident in everybody's numbers. They like to meet in person, they like to do business in person. And now we've got two new kinds of travelers to the space, the bleacher or digital nomad traveler, and the people who live away from the office and are being asked to come back to their office regularly. And for those new travelers, I think we're -- they're going to be staying for more than one or two nights that's already evident and extended stay hotels, the majority of the hotels we own should be the primary beneficiary of this new added demand. We're becoming more and more confident with respect to this outlook, as we see weekday demand really start to accelerate. Weekday occupancy is the best indicator of business travel, and it rose significantly through the first four months of the year. Weekday occupancy was 48% in January before jumping to, 60% in February. 68% in March, and 72% in April. April weekday and full month occupancy of 73% are both the second highest levels since the start of the pandemic. April 2019, weekday weekend occupancies were both at 2%. So given where we are in the recovery of the business traveler, we are already in a very good position. With the sharp uptick in occupancy ADRs are also advancing quickly a sign of great things to come our 2021 April ADR of $161 -- excuse me that's '22 is only $4 shy of our 2019 ADR of $165. We've been encouraged by the return of some tech related group business in Silicon Valley and Bellevue Washington. Offices have reopened which will be the evidence to travel both in and out of these markets. In Silicon Valley, Q1 '22 witnessed office vacancy decline for the first time in two years falling to 10.6%. And that decline in vacancy is notable given that 9.5 million square feet of new office product was delivered to the market over the same period. Office developers and owners remain bullish, anticipating the great return for the region's highly profitable and growing tech companies. RevPAR at those five hotels is basically been $70 to $75 for the better part of the last year, but April RevPAR is up 45% over the first quarter figures. So this is coming in fast. More great news out of the Valley and Bellevue we can confirm that later this month tech companies such as Meta, Apple, eBay and T-Mobile are going to be hosting in person internships this summer. In 2019, as we've said before, this business accounted for over $7 million in revenue. This year, we allocated more rooms for this business, knowing that the return of the international business traveler and long term consulting business in these markets would be gradual over the course of the year. At this point, we have approximately $15 million in internal revenue on the books for the summer. ADRs are approximately $200 compared to approximately $220 in 2019. So pretty close there. An added benefit is that our operating margin on this business is very high as this limited room servicing as part of the arrangement. We expect the second half of the year to be especially strong in these markets and will be an impetus to drive our portfolio growth higher relative to our peers. We're seeing increased demand in many of our other primary business travel driven markets such as Washington DC, the Northeastern U.S., Dallas, and especially Austin, all posting sizable games here lately. And Austin, where we acquired two hotels last year, RevPAR was about $115 in the first quarter, and in April that's jumped to $140. Our two hotels at the Domain should be top performers. That market is benefiting from tech company expansions and relocations to the area. I want to quickly point out how things are going at our recently opened Home2 Suites in Woodland Hills Warner Centre. After opening in late January it's ramping up nicely and latest trends are very encouraging there. April occupancy was over 63% and ADR was approximately $185. We've seen occupancy exceed 90% and ADR is in excess of $200 on certain nights already. This area has been the midst of a massive growth spurt. More great news in the market. It was announced about a month ago that the Super Bowl champion Los Angeles Rams closed on the acquisition of a 38 acre site, just a few blocks from our hotel, that's going to be turned into a mixed use development, which will include the team's headquarters host off season training activities, as well as other football events during the year and welcome fans all year round. Our hotel that Home2 Suites brand is perfectly positioned for the kind of business and demand that this development should generate. We're real excited about that. As I mentioned on our last call, we're confident in the ultimate recovery and trajectory of that recovery in our portfolio and want to see continued improvement as we expect we will in the business traveler, especially in our tech driven markets before reinstating the dividend. Silicon Valley and Bellevue and other primary business travel markets are rebounding and increases our confidence in generating consistent and distributable cash flow. We've historically targeted, paying out a 100% of taxable income. And when we look at any potential distribution, of course, we'll carefully analyze our taxable income for the upcoming years while also considering use of taxable deductible NOI carry forwards that came as a result of the pandemic. With that, I'd like to turn it over to Dennis for a little more color.
Dennis Craven: Thanks, Jeff. Compared to 2019, our monthly RevPAR improved each month of the first quarter, down 36%, 27%, 22% and then only down 13% in April. The acceleration is definitely attributable to the return of the business traveler, especially in our tech driven markets of Silicon Valley and Bellevue, which saw RevPAR jump approximately 45% compared to the first quarter. Large group and convention business is also coming back to life. And we're seeing healthy gains that are hotels and these downtown markets such as San Diego, Dallas and San Antonio, Our five highest hotels with absolute RevPAR in the quarter were our residents in Fort Lauderdale on the inter-costal waterway with RevPAR over $250 on occupancy of 93% followed by Hilton Garden in Marina Del Rey with RevPAR of $147. Then our residents in New Rochelle, New York and then rounded out by two hotels making their first appearance and our top five in some time, which is our Residence Inn San Diego Gaslamp and Homewood Suites, San Antonio Riverwalk again, just seeing the return of convention and group business in those two markets especially. Our top five absolute occupancy hotels in the quarter were the residents in Fort Lauderdale, followed by our residents in New Rochelle, our Homewood Suites in Maitland and then our residents in Charleston, Somerville, and lastly, our newly acquired residents in Austin at the Domain, which is this first time making our top five and all five hotels had occupancy of at least 80% for the entire quarter. Our portfolio did significantly better in the industry with first quarter occupancy of 60% compared to industry wide occupancy of 56%. And we continue to see an average length of stay much longer than our historical leverage levels. And our residents in hotels our average length of stay was three nights, still well above the 2.5 nights pre-pandemic and at our Homewood Suites hotels our average length of stay was 3.5 nights. Again pretty meaningfully above our pre pandemic average of 2.7 number nights. For the quarter total revenue $55 million was up 75% compared to last year's revenue of $31 million. We were able to generate incremental GOP of $12 million for flow through of approximately 50% on that total revenue increase. Lots of good trends on the top line, and our bottom line is also trending in the right direction. We fully expect that same store margins will be higher post pandemic. Our first quarter GOP margins were 38% on RevPAR of $88, 15% below 2019 first quarter margins of 44%. But that was when RevPAR was $33 or 38% higher. March was really the only stable month in the quarter. And our March margins were 44% on RevPAR of $119. The same margin as our first quarter 2019 margins when RevPAR was 11% higher. Our teams have produced great results throughout the worst year in the history of our lodging industry, and positive developments for margin expansion moving forward. Despite the impact of Omicron on the first quarter, we were able to generate positive cash flow before CapEx. It's noteworthy because it marks four consecutive quarters of positive corporate cash flow. Despite the pandemic we produced positive corporate cash flow after debt service and preferred dividends of $22 million over the past four quarters. We generate positive corporate EBITDA each month during the quarter. At the corporate level we generated adjusted EBITDA of $13.3 million versus about $1 million last year. We generate FFO per share of $0.07, up $0.22 over the same quarter last year when we had an FFO loss per share of $0.15. During the first quarter all but one hotel generated positive GOP and all but five hotels generated positive hotel EBITDA. Our top five producers of GOP in the quarter were our Residence Inn Gaslamp, all of our Residence Inn Fort Lauderdale. Third was our new recently acquired Residence Inn Austin, and then followed by our Residence Inn Anaheim and then our Courtyard Downtown Dallas making its first appearance on the list. Despite opening in late January and not having access to the reservation system is until opening, our Home2 as Jeff talked about has ramped up very quickly on the top and even the bottom line. In March the hotel produced GOP margins of 22%, which is particularly impressive when you think about the amount of staff we have in place to handle the ramp up process. On a per occupied room basis of our comparable hotels, payroll and benefit costs were approximately $36 down approximately 3% from the first quarter of 2019. Comp breakfast costs were $0.8 million in the quarter, up about $0.4 million or 20 basis points over the same quarter last year, but down approximately 400,000 or 10 basis points compared to the 2019 first quarter. As we talked about before the brands proposed new standards that reduce some of the offerings and should lead to same store savings. So far, that still seems to be the case on a per occupied room basis. Breakfast costs were 244 in the 2022 first quarter was compared to 282 in the 2019 first quarter, a pretty meaningful decrease of approximately 13%. On the CapEx front, the company incurred capital expenditures of $4.1 million excluding any spending related to the water center development, our 2020 capital expenditure budget was approximately $23.7 million but once the sale of core hotel closes, our total budget has been will be reduced to approximately $19 million. That includes five renovations at five hotels, our Hampton Inn and Exeter in Portland, both those renovations have been complete, and came in about $200,000 below their budgeted cost of $4 million. And then in the later this year in the fourth quarter, we have three hotels scheduled for renovation, which are Residence Inn's in Washington DC Downtown, our Residence Inn in White Plains, New York and [indiscernible] New York. As a reminder, we're hosting in-person meetings at REIT week in early June. So please email me directly if we haven't locked up a time with you yet. I'll turn it over to Jeremy.
Jeremy Wegner: Thanks Dennis. Good morning, everyone. Chatham's Q1 2022 RevPAR of $88 represents a 56% increase versus our Q1 2021 RevPAR of $57 and a 27.2% decline versus our Q1 2019 RevPAR of $146. RevPAR in January in the first half of February was impacted by the Omicron waves, but performance has been strengthening significantly since mid-February. March RevPAR of $109 was down 21.6% to 2019 and April RevPAR of $119 was only down 13.4% since 2019. The early stages of the recovery were driven primarily by leisure travel, but in recent weeks we've been - we've seen a significant uptick and midweek results, which indicates that business travel is now starting to make a meaningful recovery. We expect performance to continue to improve with decreasing RevPAR declines relative to 2019 throughout the remainder of 2022 with much of this recovery being driven by improving demand for business travel. We were able to generate a Q1 GOP margin of 38.3% and hotel EBITDA margin of 29.2% despite the January and February impacts of the Omicron variant. GOP margins recovered as revenue improved during the quarter and in March Chatham's GOP margin reached 44.4% when RevPAR was $109. Our Q1, 2022 hotel EBITDA was $15.9 million. Adjusted EBITDA was $13.3 million and adjusted FFO was $0.07 per share and cash flow before capital which represents hotel EBITDA less corporate G&A cash interest in $2.3 million in principal amortization was positive $2.8 million. Chatham took a number of steps to strengthen its balance sheet in non-dilutive ways during the pandemic. And our balance sheet is now in the best shape it's ever been. At March 31, we had $158 million of liquidity between our unrestricted cash balance of $80 million and $140 million of revolving credit facility availability. As mentioned earlier, we have some pending asset sales, which have completed with further enhanced Chatham's liquidity. We have no debt maturing in 2022 and only $114 million of maturities in 2023. While we have more than enough credit facility availability to absorb all of our 2023 CMBS maturities, we're likely to begin refinancing our 2023 debt maturities in the second half of 2022. With our reasonable leverage, solid liquidity and meaningful free cash flow, we are well positioned to opportunistically pursue attractive investments. In Q1, we completed the development of the $70 million home to Warner Center, which opened on January 24, and a part of the Hilton Garden Inn Destin to $31 million on March 8. These two new high quality hotels, along with a Residence Inn TPS Austin, which were acquired last year will meaningfully enhance Chatham's growth and the quality of our portfolio. We plan to continue enhancing the quality of our portfolio by acquiring new hotel in markets with strong growth and recycling capital in cases where we believe sale prices are attractive relative to future growth prospects. We're very encouraged by the improving operating trends that we have seen in March and April, especially the recent strength we have seen in business travel, the growth that we expect in Austin, and Destin acquisitions and the Warner Center development to generate and our ability to pursue additional growth opportunities, given our strong balance sheet and significant liquidity. While we're not going to provide guidance at this time, for those of you building your own projections, I want to remind you that Q2 will include a full quarter of interest expense associated with the home to Warner Center and the bar was used to finance the acquisition of the Hilton Garden Inn Destin. Based on our debt balance as of March 31, our cash interest for Q2 should be approximately $7.1 million, with GAAP interest of approximately $7.5 million including amortization of financing costs. This concludes my portion of the call operator. Please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi good morning, guys. Morning, appreciate all the color on business travel it's definitely encouraging. I guess looking at leisure travel, have you seen any guests decline and either rate or demand on a year-over-year basis relative to 2021? And what's your guest outlook for those net segments as we kind of approach the peak summer timeframe?
Jeff Fisher: Yes, this is Jeff, hi, Anthony. I think it's fair to say we will be a better judge of that than most folks will be you know this summer. When especially our Northeastern and New England hotels experience a huge amount of demand there, but I will say that that every particularly weekend and now midweek. Our highest ADR hotels are you know leisure related for the most part whether it's [indiscernible] Savannah crazy, crazy winter there, wonderful winter there, great spring there. So I would say leisure demand is still very, very strong, very strong.
Dennis Craven: Yes, I think just based on the comments from our operator, Anthony, you know, the Northeast hotels that Jeff just alluded to Exeter and Portland and Portsmouth feel pretty good at the moment about this summer.
Anthony Powell: So no real sign of any kind of like consumer weakness relative to inflation or price fatigue sounds like things, at least as of now are not showing that they're there?
Dennis Craven: Not showing up yet. I think we'll have to wait and see where this economy goes. But you know, our efforts, especially on the operating side, are just all around maximizing and working you know, the corporate accounts, now that they're showing willingness, you know, to start travelling again.
Anthony Powell: Yes, thanks, and maybe related, and - as you kind of get out of the covenant waiver, and as you start to kind of buy hotels over the next few quarters, there's a lot of talk about business travel coming back, and that being favorable. But most of the acquisitions across the industry have been laser focused I mean and often as a bit of a mix. I'm curious as you seek to grow the portfolio size, again, what kind of a target hotel and it's shifted over the past few quarters?
Jeff Fisher: We haven't really substantially shifted our focus, and we're never afraid of acquiring business related in our driven hotels, as evidenced by Austin. I mean, you know, domain, tech driven, all you hear about the next word. And second word, after Austin is always tech. And there we were in Silicon Valley with no business, and we bought these hotels. But as you said, there's some diversified demand generators there as well. And we'll certainly continue to look for markets like that, that have some other sources of business. And one thing that we tried not to do is just completely shift our strategy in terms of the kind of hotels that we believe in, because we've experienced, for me almost 40 years of doing this very, very good results in the kind of business and frankly, the kind of brands and particularly extended stay. And that's not a new idea on our part, either, as you well know, even though it's being talked about, as you know, the best part of the lodging business for the most part, especially during the pandemic. So I think that we're, we feel good about our focus and the brands that we do look to acquire.
Anthony Powell: Okay, thanks. Appreciate it.
Operator: Our next question comes from the line of Ari Klein with BMO Capital Markets. Please proceed with your question.
Ari Klein: Thanks and good morning. Maybe just on Silicon Valley, it looks like it's on the path to recovery this summer with interns coming back? How are you thinking about the occupancy recovery more broadly, through the portfolio, and through the remainder of the year? You know, given that what's been lagging seems to be recovering pretty strongly here. How close can we get in 2019 occupancies over I guess the second and third quarter?
Dennis Craven: Hey Ari, good morning this is Dennis. Listen, I think we're going to get pretty, pretty close to 2019 levels from an occupancy perspective, in the second half of the year. One thing that, you know, once in this intern business, you know, we started talking to them earlier this year. And that's kind of morphed over the last 120 days, in the expansion of the intern programs. Now, we're really seeing some robust requests for rooms, outside of the intern business, you know, even starting this month with some long-term corporate business, i.e. you know two to four weeks of it. And we've - the relationships and the goodwill that we built, I think over the last, you know, two plus years, with some of our key corporate clients, they're talking about in wanting to secure rooms for the fall, again, for kind of some more long-term, product development type business as well. So, I think we're pretty encouraged at the moment of what that second half of the year looks like from an occupancy perspective. And just from a rate perspective Ari I think it's important to note that, you know, when we first were negotiating the internal rates for this summer, as Jeff talked about, they're about $20 or 10%, below 2019. But since we kind of allocated the first chunk of rooms to the intern program, and those companies and other companies are coming back for additional demand, work, you know, those rooms are getting priced, substantially higher. And I think that bodes well for, post intern business into the fall, and for the rest of the year. So I think not only from an occupancy perspective, but rate perspective, things are looking pretty good out there.
Ari Klein: And just following up on that, are those rates, those rebooking rate - or new booking rates higher than the original rates or higher than 2019?
Dennis Craven: Higher than the original and higher than 2019.
Ari Klein: Got it. And then just on the supply side, you know, it seems like, you know, the environment is improving, you know, lower supply outlets, but if you could just talk across portfolio, you know, what you're seeing there?
Dennis Craven: Yes Ari, I think from a supply perspective, you know, we're set up I think, pretty well, we absorbed a tremendous amount of supply, leading into the pandemic, I think one of every select Service brand was in one of our were introduced, if not more than one in certain of our key markets. So, I think as we're in this period, post pandemic, very little new supply in those markets, I think everything if you look it kind of what's being announced and new developments that are out there, those are in markets that generally we're not in. So we're I think we're pretty confident that, we've you know I think we have a pretty good runway here.
Ari Klein: Appreciate color.
Operator: Our next question comes from the line of Kyle Menges with B. Riley Securities. Please proceed with your question.
Kyle Menges: Good morning this is Kyle on for Brian. I was curious, you mentioned that four hotels that you have under agreement to sell those were among the 15 lowest performing hotels in the portfolio. I'm curious you took four opportunities to sell the other 11?
Dennis Craven: Well I mean, listen yes we're not going to sell all the other 11. But I think it's really just a, you know, a highlight of, you know, those assets that really been kind of, you know, just steady producers of RevPAR. But certainly nothing from a major, growth perspective or anything like that. So, we're going to continue and two of those, as Jeff mentioned in his prepared comments are being converted to multifamily within I think a short timeframe. So, we'll just continue to be opportunistic, with recycling capital, which is what we've been doing. But listen, I think even though, you know, those four are definitely below our portfolio averages. We're not just going to, up in mass sell any of our lower RevPAR, we believe that those assets have some nice room for growth from here on.
Kyle Menges: Okay, thanks for that color. And then how do you feel like you're situated from a staffing perspective, especially in Silicon Valley as occupancy is expected to ramp through 2022?
Dennis Craven: Yes, good question and I think, one of the benefits, and again, I think in Jeff's prepared remarks that he talked about, the beauty of that intern business is we're going to be running, you know, 90% to 100% occupancy in those five hotels. And with that intern program you know, we might be cleaning the rooms once a week. I think most for the most part at least, you know, not more than once a week. So, even in a hotel like that, and even in a market like that, where hotels are hiring a lot of people, because hotel, because their occupancies are starting to ramp up, we're not going to need the same level of housekeeping services, because the frequency of cleaning is going to be so little. So that bodes well to be, you know, really high margin business for the summer. So from a staffing perspective, we're generally you know, I think in a pretty good position across the portfolio, especially in those five markets for five hotels.
Kyle Menges: Okay, thanks. That's all from me.
Operator: Our next question comes from the line of Tyler Batory with Oppenheimer. Please proceed with your question.
Tyler Batory: Good morning. Thanks for taking my questions. Few follow-ups for me here in terms of the asset sales, did you run a process in that increase with these inbound inquiries? And can you also talk about pricing valuations for these properties now versus potentially pre-COVID? And then also, I'm not sure if you can say how much EBITDA they contributed to 2019 as well?
Dennis Craven: Yes Tyler, I mean I think we'll talk about kind of pricing and everything, but the four hotels, I think generated $2.2 million of EBITDA in 2019
Tyler Batory: In 2021.
Dennis Craven: Yes I'm sorry 2021. You know, and they recently acquired Destin hotel actually had 2021 Hotel EBITDA of $2.3 million. So that one hotel is producing more than the four that are out. The pricing we think is, you know, attractive that's it, it was a 6% cap rate on 2019 NOI and a 2% cap rate on 2021 NOI. So it was, you know, those assets were part of a process that we've been working on. I think we've talked publicly about here for a couple of quarters that we were going to look to opportunistically sell some assets. And again, I think one of the keys is that, again, two of those four hotels are ultimately going to be converted for multifamily use, which, obviously, from a multifamily buyer, they're able to get a great product at a reasonable cap rate, but it's a very attractive cap rate for us.
Tyler Batory: Okay, great. In terms of trends in the business here, the base case that you know, May is better than April, June is better than May, July is better than June, et cetera. And we're just continue to progress going forward and you do think it plays out like that sequentially? Is that a reasonable expectation here?
Jeff Fisher: Yes, it should yes it should. And that also reverts back to what I would call normal seasonality, you know, if you think about our portfolio, or the hotel business. So, you'll get that kind of run up, as you always did in the past. And then once October is done, you know, then you start into lower seasonal months.
Tyler Batory: Okay. And then just last in terms of the dividend, I know, you want to see continued improvement in business travel, see the return in the tech markets? I mean, can you give any more specific color in terms of trigger points that you're looking for. I mean, is there you know, RevPAR level perhaps, or you know comparing EBITDA versus 2019, just trying to get a sense of perhaps a benchmark, you know, that you might look at to start thinking more seriously about reinstating the dividend.
Jeff Fisher: It's really all of those things. There's no one thing, taxable income drives the board's decision, obviously, but I think it's considering every metric that you can, in terms of where the cash flow is, and where it's going.
Tyler Batory: Okay, and then just last one, I wanted to put a finer point on the corporate travel commentary. You know, are you seeing any price sensitivity from that guest as they're starting to come back? And you know traditionally, when you look at leisure versus corporate, it's usually the corporate side of things that's not that price sensitive, but, you know, over the past six plus months, perhaps it's the leisure that was less price sensitive. So as corporate starts to come back, and is your expectation, that's the pricing power should be similar to what we seen with some of these leisure focused hotels, where you can ensure in some circumstances, essentially charge, whatever you want and guests are still coming?
Jeff Fisher: Well, I wouldn't say we can charge whatever we want. But I will say that the business traveler, at least so far, and as we've kind of looked over the next four or five months, is less averse to pricing as they were pre-pandemic. I think they've, you know, most travelers have been conditioned over the last year and a half, especially for increasing rates. We have certainly an inflationary environment where everybody's paying more for everything that that they're buying on a daily basis. So I think, again, there's less aversion to what that pricing is at the moment. And I think, as we talked about in our prepared comments, you know, we - our message really, since last year has been push rate, hold rate, you know, the travelers are going to be there. And let's capture as much as what we can, as you know, while we're in kind of this environment.
Tyler Batory: Okay great. That's all from me. Thank you for all the detail.
Jeff Fisher: Thanks Tyler. Thank you.
Operator: Thank you. At this time, we have reached the end of the question and answer session. And I will now turn the call back over to Jeff Fisher for any closing remarks.
Jeff Fisher: We appreciate it. Thanks, everybody, for being on the call. And again, we'll continue to do what we're doing and look forward to our next call, with even better results as we go forward. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.